Operator: Good day, and welcome to the B&G Foods Second Quarter 2021 Earnings Call. Today's call, which is being recorded, is scheduled to last about 1 hour, including remarks by B&G Foods management and the question-and-answer session. I would now like to turn the call over to Sarah Jarolem, Senior Director of Corporate Strategy and Business Development for B&G Foods. Sarah?
Sarah Jarolem: Good afternoon, and thank you for joining us. With me today are Casey Keller, our Chief Executive Officer; and Bruce Wacha, our Chief Financial Officer. You can access detailed financial information on the quarter and the earnings release we issued today, which is available at the Investor Relations section of bgfoods.com. Before we begin our formal remarks, I need to remind everyone that part of the discussion today includes forward-looking statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We refer you to B&G Foods most recent annual report on Form 10-K and subsequent SEC filings for a more detailed discussion of the risks that could impact our company's future operating results and financial condition. B&G Foods undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. We will also be making references on today's call to the non-GAAP financial measures, adjusted EBITDA, adjusted EBITDA before COVID-19 expenses, adjusted net income, adjusted diluted earnings per share and base business net sales. Reconciliations of these financial measures to the most directly comparable GAAP financial measures are provided in today's earnings release. Casey will begin the call with opening remarks and discuss various factors that affected our results, selected business highlights and his thoughts concerning the outlook for the remainder of fiscal 2021. Bruce, will then discuss our financial results for the second quarter as well as expectations for 2021. I would now like to turn the call over to Casey.
Casey Keller: Good afternoon. Thank you, Sarah, and thank you all for joining us today for our second quarter earnings call. We are pleased with the company's performance in the second quarter and our prospects for the remainder of the year. As we expected, the second quarter was the most challenging to lap from a comparative perspective, given that Q2 2020 occurred at the height of pantry loading and stocking during the COVID-19 pandemic. However, performance remained elevated relative to 2019. As many of you know, this is my first earnings call at B&G Foods. I've now been in the role as CEO for about six weeks. So for the folks on the line that I haven't met yet, it is a pleasure to meet you today over the phone. I'm certainly looking forward to meeting many of you in person over the coming months as we get back into the cadence of in-person investor conferences, industry events and trade shows. While I am mostly in listen mode for now, I will be happy to share some of my observations so far, and then come back over the coming quarters with a more detailed discussion around strategy, the portfolio, as well as our opportunities and challenges at B&G Foods. Obviously, one of the biggest drivers of industry performance over the past 1.5 years has been the COVID-19 pandemic. In many cases, this is a matter of portfolio DNA, what are the brands, what are the categories, coupled with management's effectiveness in keeping employees safe, mitigating business risk, maintaining supply and maximizing opportunity. Here at B&G Foods, we have done a pretty good job. At the height of the pandemic in Q2 last year, we generated some of the largest growth numbers in the packaged food industry. Today, COVID continues to be a concern in everyday life across the country and around the world. But with the passage of time and the increasing proportion of the population that has been vaccinated, we expect gradual, if uneven, recovery in normal economic activity. We do have opportunities coming out of the pandemic though. When I look at the consumer trends that accelerated during the pandemic, e-commerce, comfort brands, baking, cooking, enhancers, flavorings and seasonings. There are lots of opportunities for the B&G portfolios at the center of these trends. We clearly aren't going to match 2020's net sales on our base business, but we are a larger business than we were in 2019, driven by continued growth and interest in cooking, baking and eating at home. B&G's base business is up 7% on a 2-year stack from 2019. Within the portfolio, our spices & seasonings baking and meals brands are up 20% versus Q2 2019. And specifically on spices & seasonings which is about 20% of our total company portfolio and aggregates to be the number two spices and seasonings business in the United States, net sales are up more than 20% from Q2 2019 and remains well positioned coming out of the pandemic as more consumers continue to cook more often at home. Also, the spices and seasonings portfolio is about 15% to 20% foodservice, so we are also benefiting as restaurants and eating establishments reopen, and more Americans are dining out again. Our baking portfolio is also seeing positive trends in the post-pandemic world. Recent studies show that even in spring 2021, approximately 65% of consumers were baking at home at least once per week, lifting the prospects of our growing list of baking brands that includes B&G Foods stalwarts such as Brer Rabbit and Grandma's Molasses, as well as more recent additions such as Clabber Girl and Crisco. We will spend more time talking about Crisco, but so far after eight months of ownership, we are very encouraged by the category trends and the top line performance of this business. Another significant impact coming out of the pandemic is inflation and at unprecedented levels. We are seeing inflation on key cost inputs across the portfolio, particularly in many tradable commodities, packaging material and freight. The impact on our base portfolio is approximately 3% to 4%, but much higher on the Crisco business where soybean oil costs have doubled from last year. At B&G Foods, we identified the risks of inflation early and acted to raise prices to recover higher input costs. We will see more impact from both inflationary costs and pricing moving into the P&L through Q3 and Q4, with some lag effect on the timing of pricing implementation with customers. Finally, I wanted to give you my perspective on B&G Foods overall and some thoughts on how we move forward. This company has grown net sales and adjusted EBITDA at a greater than 10% compound annual growth rate over the last 17 years since its IPO in 2004. The company was built upon a successful track record of acquisition-related growth. We have successfully acquired and integrated more than 50 brands into our company since it was established in 1996. For sure, some of the brands are a little old and stodgy, but many of these generate significant cash. Many other brands and businesses that we have acquired, including spices, baking and meals, still have incredible opportunities in front of them. Our goals are to continue to increase sales, profitability and cash flows through organic growth and disciplined acquisitions of complementary branded businesses. Going forward, what you should expect from me is stronger focus within the portfolio on where we will grow, invest, acquire and create value. Much more to come on that in future meetings and calls. Thank you for joining us today. I will now turn the call over to Bruce for a more detailed discussion of the quarter. Bruce?
Bruce Wacha: Thank you, Casey. Good afternoon, everyone. As Casey mentioned, we had a strong financial performance during our second quarter despite some very challenging comparables. A year ago at this time, we were still, for the most part, sheltering at home, had little hope of an effective vaccine in the near future and saw the majority of the away-from-home eating industry shutdown, other than a budding recovery of takeout dining that began midsummer last year. April, May and June of 2020 were the peak months of COVID-19, and Americans were still eating the majority of their meals at home, creating unprecedented demand for shelf-stable and frozen packaged food products, the types of products that we sell. In fact, when we reported our second quarter results last year at this time, we were discussing net sales growth that was up nearly 40% and adjusted EBITDA growth that was up nearly 45% from the prior year. Margins were also up significantly. This year, as we lap those pandemic-enhanced results, I think it is also important to view the second quarter in the context of its comparisons to Q2 2019. While sales were lower than March, April and May months of last year, net sales finished nicely ahead of pre-pandemic levels for the quarter, and we continue to track to the mid-single-digit increases over 2019 levels that we had been talking to for some time. We are seeing many of the consumer behaviors that we witnessed last year persist, driving a sustained increase in the numbers of Americans preparing their meals at home and eating at home on a daily basis. As Casey said earlier, we are seeing consumers cooking, baking and eating at home more frequently than they had pre-pandemic. Another factor worth mentioning before we get deeper into our results is inflation. At the beginning of this year, when we were delivering our Q4 results and outlook for the year, we raised our concerns about inflation as the broader economy restarted, and we began to more fully adapt to the impact of COVID-19. I hate to use the word unprecedented too loosely, but we are certainly seeing inflation with little recent precedent. While our conversations about inflation may have seemed early at the time, it is now hard to read, watch or listen to the news without hearing about inflation. Inflation is here, and it appears that it will likely be here for some time. In some cases, that means costs are up marginally. And in other cases, particularly for tradable commodities, cost may be up as much as double digits from last year's pandemic-depressed levels. At B&G Foods, we acted quickly to take price across large parts of our portfolio to help offset inflation and preserve our margin structure. We have now executed list price increases in approximately 80% of the brands in our portfolio. While we were covered with many forward purchases in many cases throughout portions of the year, this mitigates the damage, but the cost increases still hurt. And while we are taking price, it largely comes with a lag effect setting up a fairly common phenomenon where the margins may be compressed a little bit more than we would like to see them in the short term, but are expected to remain fairly stable in the long term. We expect these inflationary pressures to persist and that conversations about inflation and price increases will continue well into 2022. And now for the 2021 Q2 highlights. We reported net sales of $464.4 million; adjusted EBITDA before COVID-19 expenses of $85 million; adjusted EBITDA of $83.8 million; and adjusted diluted earnings per share of $0.41. Adjusted EBITDA before COVID-19 expenses as a percentage of net sales was 18.3%. Adjusted EBITDA as a percentage of net sales was 18%. Net sales of $464.4 million were down $48.1 million or 9.4% from the peak of COVID Q2 2020, but up $93.2 million or 25.1% from pre-COVID Q2 2019. Crisco, which we acquired in December 2020, generated $58.4 million of net sales in Q2 2021. Base business net sales, which primarily exclude Crisco and approximately 1.5 months of Clabber Girl net sales, were up $26.4 million or 7.1% compared to 2019. As a reminder, we acquired Clabber Girl in May 2019. We continue to believe that we will see a material lift say, mid single digits in net sales, over the levels that we experienced in 2019. Comparisons to 2020 are obviously driven by a decline in volumes, but we are also seeing a benefit from price, which includes list price increases, trade spend optimization and a little bit of mix. For the recent quarter, price/mix was a benefit of approximately $6.2 million, bringing us to approximately $12.8 million of benefit for the first 2 quarters combined. We generated adjusted EBITDA before COVID-19 expenses of $85 million in the second quarter of 2021, a decrease of $21.9 million or 20.5%. During the second quarter of 2021, we incurred approximately $1.2 million in incremental COVID-19 costs at our manufacturing facilities, which primarily included temporary enhanced compensation for our manufacturing employees, compensation we continue to pay manufacturing employees while in quarantine and expenses related to other precautionary health and safety measures. We expect to see continued reduction in these costs, which averaged about $1.5 million per month during the height of the pandemic and have averaged a little less than $0.5 million per month in the second quarter of 2021. Inclusive of these costs, we reported adjusted EBITDA of $83.8 million, which is a decrease of $18.8 million or 18.3% compared to last year's second quarter. Adjusted EBITDA as a percentage of net sales was 18% in the second quarter of 2021 compared to 20% in the second quarter of 2020. Adjusted EBITDA as a percentage of net sales was 19.1% in the second quarter of 2019. Adjusted diluted earnings per share was $0.41 compared to $0.71 in Q2 2020 and $0.38 in Q2 2019. Spices & seasonings continues to be one of the key drivers in the portfolio. Net sales of our spices & seasonings including our legacy brands such as Ac'cent [ph] and Dash, and the brands we acquired in 2016 such as Tone's and Weber were approximately $99.3 million, a little bit more than 21% of our total company net sales for the quarter. Net sales of spices & seasonings were up by approximately $0.7 million or 0.7% compared to Q2 2020. Net sales of spices & seasonings were up approximately $18.1 million or 22.2% compared to Q2 2019. Spices & seasonings sales remain elevated across all of our brands and channels, and we are seeing a real benefit as consumers repeatedly demonstrate their interest in trying new recipes while cooking and eating at home. Among our other large brands, Maple Grove Farms, which generated $20.2 million in net sales for the quarter, was up $2.2 million or 11.7% compared to Q2 2020, and up $2.4 million or 13.4% compared to Q2 2019. Maple Grove Farms benefited from both strong retail demand as well as a recovery in its food service business. Ortega generated net sales of $40.9 million and was down $5.9 million or 12.7% compared to Q2 2020, but was up $6.9 million or 20% from Q2 2019. Ortega is a callout brand that is still benefiting from COVID-like demand, but we are selling products as fast as we can make them, particularly taco shells, taco sauce and chili peppers. And unfortunately, due to internal and external supply chain constraints, we are still not able to capitalize fully on the demand opportunity. Ortega is a brand that we are very much leaning into and our operations team is working hard to expand capacity and maximize this opportunity. We have a similar story with Las Palmas. Las Palmas generated net sales of $8.8 million, was down $3.4 million or 27.7% compared to Q2 2020, but was up $1.2 million or 15.2% compared to Q2 2019. Similar to Ortega, Las Palmas was not able to fully capture the continued demand opportunity with supply constraints of chilis due to crop issues. Cream of Wheat which has been one of our largest beneficiaries of the consumer patterns emerging from the pandemic, generated $14.2 million in net sales for the quarter. And while down $3.8 million or 20.8% from Q2 2020, Cream of Wheat was up $2.5 million or 21.9% from its pre-pandemic Q2 2019 levels. Green Giant had a tough quarter that combined the most challenging COVID comparison in our portfolio with the most challenging supply chain constraints as we wait for the new vegetable pack. Green Giant generated $105.7 million in net sales, down $58.4 million or down 35.6% compared to Q2 2020, and down $7.2 million or 6.4% compared to Q2 2019. Green Giant will continue to face tough comparisons and supply chain constraints until the year will largely get through the pack season in the third quarter of this year. However, we do expect a strong fourth quarter once we are fully loaded on inventory. We generated $111.6 million in gross profit for the second quarter of 2021 or 24% of net sales. Gross profit was down when compared to Q2 2020 gross profit of $134.1 million or 26.2% of net sales. But margins were up almost 100 basis points sequentially and when compared to Q1 2021 gross profit, which was 23.3% of net sales. As we discussed earlier, we are seeing low to mid-single-digit input cost increases in our base business coupled with double-digit increases for Crisco. These increases also include low- to mid-single-digit increases in factory regions, low single-digit increases in packaging and double-digit increases in freight. These costs were largely offset in part by our pricing initiatives as well as an aggressive forward purchasing strategy by various cost savings initiatives in our manufacturing facilities. Gross margin was also negatively impacted by the inclusion of Crisco in our results. Crisco comes with a higher depreciation rate than the base business, thus margining us down nearly 100 basis points for the quarter. Although this impact is netted out for adjusted EBITDA and adjusted EBITDA margin purposes. These pressures were offset in part from a lapping of COVID-19 expenses, which were just $1.2 million for the quarter compared to $4.3 million during Q2 2020. Selling, general and administrative expenses were $47.1 million for the quarter or 10.1% of net sales. This compares to $44.3 million or 8.7% for the prior year and 10.7% in the second quarter of 2019. The dollar increase in SG&A compared to last year ago levels is almost entirely driven by a $4.6 million increase in warehousing costs, coupled with $1.9 million in incremental acquisition-related and nonrecurring expenses, which primarily relate to the acquisition and integration of the Crisco brand, as well as $0.3 million in increased advertising and marketing spend. The increase in warehousing costs was primarily driven by the Crisco acquisition and customer fines related to COVID-19 shortages and delays. These costs were partially offset by decreases in selling of $2.5 million and decreases of general and administrative expenses of $1.5 million. As I mentioned earlier, we generated $85 million in adjusted EBITDA before COVID-19 costs and $83.8 million in adjusted EBITDA in the second quarter of 2021. This compares to adjusted EBITDA of $102.6 million in Q2 2020 and $71 million in Q2 2019. Interest expense was $26.7 million compared to $24.8 million in the second quarter last year. The primary driver of the increase in interest expense was the acquisition of Crisco. As a reminder, we financed the entire $550 million acquisition price with debt, a combination of revolver draw and new term loan. The revolver currently costs us a little less than 2% in interest and the term loan a little bit less than 2.75% in interest. Depreciation and amortization are also up year-over-year, driven primarily by Crisco. Depreciation expense was $14.8 million in the second quarter of 2021 compared to $10.6 million in last year's second quarter. Amortization expense was $5.4 million in the second quarter of 2021 compared to $4.7 million in last year's second quarter. We are still expecting an effective tax rate of approximately 26% for the year, but taxes were a little higher than that in this year's second quarter due to some discrete tax events at an effective rate of 26.8% for the quarter compared to 26.2% in last year's second quarter. We generated $0.41 in adjusted diluted earnings per share in the second quarter of 2021 compared to $0.71 per share in Q2 2020 and $0.38 per share in Q1 2019. We remain encouraged by these trends. Despite the tough comparisons against 2020, and the continuing challenges of COVID, we still expect to achieve company record net sales for the year, reflecting a mid- to high single-digit increase in the base business net sales compared to 2019 and coupled with the addition of Crisco, in line with the $2.05 billion to $2.1 billion net sales guidance that we provided in March. And despite the continued inflationary pressures that we face, we are continuing to target the 18%-plus adjusted EBITDA margins that we have generated in recent years. However, because we are not fully able to estimate the impact of COVID-19 cost inflation and our cost inflation mitigation efforts will have on our results for the remainder of fiscal 2021, we are unable at this time to provide more detailed earnings guidance for the full year of fiscal 2021. A couple of quick callouts from a modeling perspective. As I mentioned earlier, interest expense, depreciation and amortization are continuing to trend higher than last year as a result of the Crisco acquisition. We expect full year interest expense of $105 million to $110 million including cash interest expense of $100 million to $105 million; depreciation expense of $60 million to $62 million; amortization expense of $21 million to $22 million; and an effective tax rate of approximately 26% for the full year. Finally, as a reminder, last year's third quarter included an extra week as a result of our 53rd week during the fiscal calendar of 2020. At the time, we estimated that the extra week was worth approximately $35 million in extra net sales. Now I'll turn the call back over to Casey for further remarks.
Casey Keller: Thank you, Bruce. As I said at the beginning of the call, we had a fairly strong quarter despite lapping Q2 2020, which benefited from peak COVID-19 demand. The quarter played out pretty much as management expected. And the company remains on track to deliver the mid- to high single-digit growth ahead of 2019 that is set as a target for this year. I am digging in and enjoying my early days at B&G Foods, and I look forward to sharing more of my perspectives on the company's performance, strategy and portfolio in the time ahead. This concludes our remarks, and now we would like to begin the Q&A portion of our call. Operator?
Operator: Thank you. [Operator Instructions] And we'll take the first question from the line of Karru Martinson with Jefferies. Please go ahead.
Q – Oliver Grossman: Hi. This is Oliver Grossman on for Karru. What products would you say you have been better able to take price in? And which are you having more trouble with? And why would you think that's the case? I think you mentioned that 80% of the portfolio has seen price increases, so any color there would be helpful.
Casey Keller: Yes, I can start, and then Bruce can talk a little bit. Yes. I think we disclosed that we've taken pricing on 80% of the portfolio at this stage because we've seen that the inflation and input costs, the pressure has been pretty broad across the portfolio. We - I would say the - and the increases on our core portfolio before Crisco are probably smaller, but depending on the item. So we've been pretty successful at being able to implement those with customers. And we have very strong justification with the inputs going up. I mean, Crisco is significant. When your primary component is soybean oil, and that goes up by 2x, which is what it has happened since we acquired the business. Those are obviously some tougher discussions, but we are getting through those because all of our customers in the industry see that those soybean [oil cost are up] that much. So I would say, look, overall, I think this pricing environment, customers feel it. We obviously have very tough but productive discussions about it. But we've been able to largely have successful discussions around pricing and get it implemented. And some of it is still yet to come. We just announced it, but it hasn't been implemented fully until probably a couple of months.
Q – Oliver Grossman: Great. Thank you. And then just lastly, how much top line do you think that you guys have left on the table due to the capacity constraints that are not letting you fully meet demand.
Bruce Wacha: I think that's a hard one to give at this time. I think it definitely depends on the category. I mean, certainly, Green Giant ourselves would be significantly higher in canned and in frozen corn on the cob, where we're relying on Mother Nature and we'll get the product. And so will our competitors when Mother Nature comes in throughout the crop season. And so that's one where we certainly heard. Spices & seasonings up something like 20% compared to 2019, actually up versus last year. If we had unlimited supply, we have a lot more sales. I think you go down the portfolio piece by piece, and you see that.
Casey Keller: Ortega, taco shells and taco sauce, we've been kind of struggling to keep up with demand on those two and have plans to get additional capacity in place, but it's not there yet. A - Bruce Wacha Yes. Static Guard, if we had unlimited supply our sales would probably be kind of close to the same until people are out and about and using Static Guard on their clothes when they go to work.
Bruce Wacha: That's an availability of the spray cans that's been the issue. So...
Q – Oliver Grossman: Great. Thank you very much.
Operator: [Operator Instructions] We'll take the next question from the line of Andrew Lazar with Barclays. Please go ahead.
Andrew Lazar: Good afternoon. And Welcome, Casey.
Casey Keller: Thank you, Andrew. Maybe I want to start off, Casey. I know you're not ready to sort of lay out sort of the go-forward strategy in a whole lot of detail yet. But maybe I just want to get a sense, historically, right, the company has had a very successful strategy of sort of keeping the core relatively stable to growing very modestly. And then kind of supplementing growth with capital allocation around dividend policy and then accretive deals. And maybe it seems that B&G may have strayed a little bit from that strategy maybe the past few years looking for a little more growth out of the core. Just trying to get a sense if it's your intention to sort of take B&G back to its roots, so to speak, or moving in an entirely different direction? And then I've just got a follow-up. Yes, I'd say -- and Andrew, I do want to say that this -- 6 weeks in, I think I'd be crazy to say I understand everything about this company and know everything about where we need to go. But look, I am digging in, and I'm starting to form some ideas about what we need to do and working those with the team. I would say my approach is to say we need to keep -- we need to do what has been working at B&G well, which is stabilizing the shelf-stable portfolio and getting -- or even getting modest growth out of it. And then making sure that we're bringing in accretive acquisitions that are complementary to the things that we do well that we can build in and bolt in pretty successfully. And the company has done a remarkable job of that. I would say the one piece that I'm going to probably build on top of that is we've gotten to a stage where we compete in lots of categories with lots of brands. And I don't think they're all created equal. I think there are some categories and brands and segments that we will -- we are better equipped to add value, create value by bringing them in here, either through organic growth or synergies or other things. So you'll probably hear me talk about places that we really want to play and where we believe we can win and where we believe we'll be more successful at adding significant value creation beyond just sort of bringing them in-house 1 time. So I'm a little -- it's a little early for me to talk about that, but that's a little -- that's kind of how I see it. So I don't want to walk away from what's B&G has done well, and I will honor that and make sure that we do those things well. But I think we do need a little bit of focus on the places that we want to invest, grow, acquire where we would prioritize going forward in the future. But still maintain the principles of buying smart and doing the right things for the business.
Andrew Lazar: Yes. And then, Bruce, I think I heard you say that you're sticking with the 18%-plus EBITDA margin. I wasn't sure, and I may have just missed it. Was that also for this year or just kind of over time? Because I know you also talked about the typical lag that we have in timing between pricing and inflation and all of that.
Bruce Wacha: Yes. Fair enough. I mean, look, I think in this quarter, you certainly saw the compression on margins. We were a little bit less than we were 2019, certainly, no expectation on our side that we would have hit 20% for this quarter. We're still targeting an 18% EBITDA margin because we think that's the right thing for the business and what we should be able to produce. And probably at the lower end of that 18%, 18.5% that we talked about earlier in the year, but that's still our goal.
Andrew Lazar: Great. And I guess just on that then, what is -- because there are a bunch of food companies, obviously, that aren't able to reach their, let's call it, normal EBITDA run rate from a margin perspective this year just because of, again, the timing lags and the things that are typical with how this works in a rising input cost environment. I guess what's -- is it that you were faster to get pricing implemented? You've got additional productivity. Trying to get a sense of what's sort of making up that -- or making up for that gap or that timing lag to still allow you to get to that type of margin for the year.
Bruce Wacha: Sure. I mean, look, not saying it's going to be easy. There's certainly going to be a challenge and that there's always risks. But as we highlighted when we gave our fourth quarter results and our outlook for the year and the beginning, part one, we weren't giving formal guidance this year because we thought that there would be many challenges coming out of COVID, both from a sales standpoint, but also thinking through the cost side. And we have that. In theory, we should have a margin benefit from Crisco this year because it is a higher margin business. But as we've said, that's an area where we've seen input costs. It's an area where we've taken pricing. And kind of the same, to a lesser degree, on the portfolio, we acted quick in terms of taking pricing, but we're still seeing cost increases. And so I wouldn't go too crazy with building an EBITDA margin upside opportunity for this year because I think like everybody else in the space, we're going to see challenges. But we still think that's the right Casey Keller.
Casey Keller: I would say, Andrew, just very quickly, I believe just looking from the outside coming in here that B&G did call out inflation earlier and acted on pricing earlier than a lot of the rest of the industry, which is now followed pretty aggressively. The second thing I would say is that we did a good job on certain commodities protecting ourselves. So having coverage fairly long, we did that with soybean oil. So in the first half, we haven't seen a huge impact. We'll see more impact coming through Q3, Q4 because we were hedged or protected longer on some of the things that have gone up dramatically. And then the last thing is just sort of a focus on costs and cost savings, and making sure that from spending to supply chain costs that we were doing everything possible to get productivity. And I think it's the combination of all those that's going to enable us to stay around that 18% number.
Andrew Lazar: Great. Thank you.
Operator: We'll take the next question from the line of Michael Lavery with Piper Sandler. Please go ahead 
Michael Lavery: Thank you, good evening. I wanted to get a little bit more specific. You said you've got some good coverage on commodities. But I know when you were calling out inflation pressures or concerns earlier in the year, the fourth quarter was a big wildcard there. How covered is that now? Is there still a good amount of exposure? And can you give us any sense of how you may be positioned for 2022?
Bruce Wacha: Not in a position right now to give our 2022 guidance. We typically would…. 
Michael Lavery: Yes. No, sorry, I don't mean guidance. Just do you have -- are you 20% covered on commodities? 30%? 10%? Something like that.
Bruce Wacha: Not something that we would disclose at this point.
Casey Keller: I think it's fair to say that we were pretty well covered through -- and I'm talking about against the increases. So we're actually fairly covered through this year, but we recovered against the larger increases through the first half of the year. The second half of the year, we will have pricing rolling through to help us offset the increasing costs that are going to be flowing through our inventory and P&L. So that's kind of what's happening. So we're we'll have pricing coming into a more -- a larger effect as we see more of the costs flow into the P&L in Q3 and Q4.
Bruce Wacha: And I also think that's something that's going to remain fluid. I mean, we're seeing what seems like inflation across the board. Four months ago, no one was talking inflation when we had our call. Now everybody is talking about it. And you are hearing even the retailer is talking about taking price. If we continue to be an inflationary environment in 2022, there's probably more price increases. If we end up not being an inflationary environment and some of these cost increases go away, we'll have to watch that as well.
Michael Lavery: Okay. That's helpful. And just maybe a follow-up on the pricing side. You correctly note that you were kind of a leader here, talking about this earlier as an issue than your peers. But I guess then, you're also now saying that you've got the lag between the pricing and coming into effect and the inflationary pressure. Is it just that the inflation has moved so quickly? Is it just that you were trying to be careful to take pricing -- to not take pricing too soon and then you've got a gap. Can you help us understand some of the mechanics around the timing?
Bruce Wacha: Yes. I mean there's certainly a conversation you can have with customers around price when you have input cost increases. And you have to see that materialize so you can verify and validate those cost increases and then put them in place. And so it still takes time. And I think our point was we are aware of it. We suspect a lot of people were aware of it and seeing it. And like I said, we prepared ourselves, and we are ready to act quickly, but there still is a lag effect.
Casey Keller: And that's basically when do we see the costs really going up, which, by the way, they have been like increasing over the last 6 months. And when we take pricing as well as the time line for getting it implemented with customers. I mean most customers are going to insist that we have a 90-day lead time on price increases. So it's just those timing factors. But we try and get it in line as much as possible, but usually, there's some lag effect.
Michael Lavery: Okay. Thanks so much.
Operator: We'll take the next question from the line of William Reuter with Bank of America. Please go ahead.
William Reuter: Hi. I was wondering, often some retailers reset their shelf space during the middle part of the year. It didn't happen a lot during COVID. I was wondering if there were any changes in shelf space that you expect kind of over the next month or 2 for any of your key products?
Bruce Wacha: People are trying to get back to the normal cadence as much as they can.
Casey Keller: I mean, we don't -- honestly, just -- we're just now getting indications for most of the major retailers that they're doing category reviews and beginning to do new shelving sets and planograms. So we don't have a lot of information yet because that process is really just getting going. We're in initial discussions around some of our new innovation items that are going to be coming to market now and over the next several months. But I think it's a little early to understand what's happening with category reviews. And even some customers now are shifting some of the timing of those around. So we don't have any information to say one way or another, what's going to happen plus I don't suspect that we will have a lot of vulnerabilities that will be more about how do we optimize our SKU assortment and how do we bring new innovation into the market.
William Reuter: Okay. And then just one follow-up, if I can. On the supply chain disruption in Green Giant, you were on allocation with certain products. I guess, where do we stand on that now? And are you continuing to have a shortage of certain inputs, such that some of your customers are not able to fully provide them all the products that they'd like.
Bruce Wacha: Certainly, on the can side for Green Giant, we're still just now getting into the pack season. And that begins basically now weeks ago and continues through just past the end of the third quarter. And so that's a position that's steadily improving and trying to get back to normal.
William Reuter: Great. That’s helpful. Thank you.
Bruce Wacha: Thanks, Will.
Operator: Your next question comes from the line of Jenna Giannelli with Goldman Sachs. Please go ahead.
Jenna Giannelli: Hi. Thanks for taking my question. You talked about, obviously, your desire and interest to continue opportunistic M&A. But I guess, given there are some [Technical Difficulty] fact it near term to maybe be on pause in terms of the pipeline. And then just remind us again, potentially how high you're willing to take leverage and just commentary on valuation. Thank you.
Bruce Wacha: Yes. So great question. I think we're always looking. I mean at B&G, it's hard to go more than 1 year or 2 here and there without seeing a couple of acquisitions. Don't know what the next one is. We're less than a year removed from Crisco. But we are always looking. I think, certainly, as Casey develops his strategy for the company, there's going to be areas that we're going to focus on where we see more or less opportunity. There's an opportunistic aspect of a willing seller in order to find willing buyer. And so that will continue to evolve as far as leverage. We've got a target ratio of 4.5 to 5.5 times x. And so we're a little bit above that but not too far above. But that's certainly a consideration that has to make the math work, both from a valuation and how we're paying for things. And so always willing to look, always willing to do the math on how to fund something and we'll see where the next one comes.
Jenna Giannelli: That makes sense. And then I guess I have to ask, you have some callable debt. How are you thinking about addressing that potentially coming to market, taking advantage of the favorable high-yield market, et cetera? Thank you.
Bruce Wacha: Great question, similar answer to the M&A, which is -- I wish there was an opportunity to get out in the high-yield market at very, very attractive rates. We're happy with our capital structure today, but we are getting a little bit closer to the maturity on the 2025, although it's still a ways off. I think we've got to look and evaluate and if there's something to do structurally, that's great. But right now, we're very happy with our capital structure, both on the floating side and the bonds.
Jenna Giannelli: Thank you so much.
Operator: We'll now take the next question from the line of Rob Dickerson with Jefferies. Please go ahead.
Rob Dickerson: Great. Thanks so much. Bruce, just a direct question. I know there's no guidance outside of revenue provided for the year development in parts. But just kind of given the commentary here, right, in the Q&A around you're trying to hold this 18% EBITDA margin for the year and then giving no new guidance. I'm not going to ask you what your EBITDA guidance is, but haven't you kind of implied what that EBITDA guide is. I just want to make sure there's not something else in there that would prevent the rest of us on this call, myself included, to kind of go that way. I'll start with that.
Bruce Wacha: Yes. I think just for us, there's a recognition that there has been all this year and really beginning last year that were in unprecedented times. And it's just harder to put a fine number out there, knowing all the risks and in some cases, opportunities of what COVID has brought for us. And what happens in the coming months ahead in terms of what our restrictions and ability to eat in restaurants or not. And so there's a lot of unknowns out there. Our guidance or lack of guidance this year is a reflection on that.
Rob Dickerson: All right. Fair enough. And then secondly...
Casey Keller: A lot of volatility, I would say, on top of that, not only volatility in the COVID environment and expectations, what's happening. I mean you can look at the Delta variant now and say, it's hard to figure out what's going to really go there. But there's also a lot of volatility in the inflationary environment, I think it's like -- which is, I think, makes giving earnings guidance hard when you can't see exactly what's going to happen and what's going forward. So I think, look, we are targeting the 18% earnings margin. We just think there's too much volatility in the costs and the external environment to really be able to pinpoint it.
Bruce Wacha: Yes. And certainly, a part of the thought process behind how and where we gave guidance this year was there isn't a lot of unknowns, and we didn't want to be in a situation where we're in an earnings call, whether it's the second quarter or the third quarter debating you're ten or above ten below an EBITDA margin number. There's - we're going to do our best, but there's risks. And like you guys said, a lot of other companies are seeing a lot more margin compression than we had. So we'll continue to do that.
Rob Dickerson: Yes. It all makes sense. And then I guess I don't call it out as much or maybe it is in there. I'm just not reading it the right way. It's just kind of supply chain. I know you still call out some of the capacity constraint on Green Giant, what's happening there. I know part of your network is co-manned. But was there anything in Q2 or you kind of foresee back half that gives you some kind of pause on just overall supply chain complexity, inclusive labor and capacity, what have you…
Bruce Wacha: Yes, it's all very much there for us like it is for a lot of people who are doing manufacturing or relying on co-packers. I think last year at this time, there was concerns could you get your factory staffed. And we were pretty lucky in terms of not having the massive shutdowns like some of the folks on the protein side had. I think now it's there's risks to different brands and different products that we have, and it's kind of plus or minus, but for the most part, reasonably healthy. But sure, I mean we could sell a lot more as we called out Ortega, if we had unlimited taco shells, we could sell a heck a lot more. You go into most stores. You see shelves not fully stocked. With that said, we're still putting up decent sales numbers relative to 2019. So it's less about do you have product to sell and more about do you have enough to sell to maximize the demand opportunity. Certainly, certain brands and certain products, we have that.
Casey Keller: And spices & seasonings, we're -- we -- it's a kind of a good problem to have. We're running that factory full out, and we're trying to hire new people in this environment, it's tough. So there are some areas of our business where we're trying to add capacity. It's just -- it's not terribly easy right now, but we're going to get it done. In some places, it's about new lines. In some places, it's about bringing on additional labor. So we're trying to work through all this to maximize the opportunities from our portfolio.
Rob Dickerson: Right. Great. And then just last thing quickly. I know you said upfront kind of the conversations with retailers seem to be somewhat ongoing, right, as you get through the year. And obviously, there's some complexity in kind of where those costs go as we move forward. But if we sit here today, when you go and talk to that retailer, I'm assuming -- like you're saying on Crisco, I'm assuming some hedges roll off on a kind of go-forward rolling basis. My assumption here is you're trying to kind of price to those rolled-off hedges later as you think through into '22 [ph] versus getting what you can now and then trying to go back at the end of the year. Just trying to figure out that -- how you think about that pricing dynamic relative to what your visibility is just off the spot today.
Bruce Wacha: Yes. I mean, I think ultimately, we have to price the business off of what the with the long-term input costs are going to be. And so look, at the end of the day, we need to price so we're not margin compressed over the long term. And as we've kind of said repeatedly on this call, there may be some margin compression in the short term. Our goal is to maintain our margins over the long term.
Rob Dickerson: Got it. All right. Thank you so much. Really, appreciate, guys.
Bruce Wacha: Thanks, Rob.
Operator: Your next question comes from the line of Carla Casella with JPMorgan. Please go ahead. 
Carla Casella: Hi. Most of my questions have been answered. But on the new capacity front, you're talking about building capacity, is that something that could come on in the third quarter? Or is that something that's more fourth quarter next year in Ortega and the others where you're talking about constraints?
Casey Keller: Yes. I mean it's probably more fourth quarter and first quarter of next year. To be honest, just -- there might be some slight impact in Q3, but it's really a Q4 on taco sauce. And the shell line won't come on for another 6 months. I think you could count on -- and then on the supply constraints on Green Giant, that's really about the pack -- the seasonal pack, as Bruce talked about.
Carla Casella: Okay. Great. And then could you just talk about whether you're starting to see as we come further out away from COVID and lockdown, whether you're seeing any changes in promotional environment or cadence in -- or among the different product lines like frozen versus shelves? Anything you could call out?
Casey Keller: Yes. I think what we've seen during the COVID pandemic, last fall and even this spring is promotions -- there's less foot traffic in the store during kind of promotional time -- traditional promotional time frames, call it Easter or whatever. And so the lift off promotion is a little bit less. But we expect, as things begin to normalize that, that will improve. So we're kind of -- we're not pulling back on promotion necessarily in the fall period. We're expecting that there will be some promotion events and that promotion will be a little bit better than it was last fall in the middle of pandemic. But it's kind of -- it's gradually returning. And we're just trying to follow that and make sure that we're moving in line with what we see from promotion activity at retailers.
Carla Casella: Okay, great. Thank you.
Operator: We'll take the next question from the line of Ken Zaslow with Bank of Montreal. Please go ahead.
Ken Zaslow: Good evening, everyone..
Casey Keller: Hey, Ken.
Ken Zaslow: Casey, as you kind of look at the business, a lot of CEOs come out and say, hey, look, I have a 100-day plan, a year plan, a 3-year plan. I know you're not in a position to tell us about what the plan is, but do you have a plan in which you're going to set up your plan, I guess? And like how are you going about it? And what is your philosophy in going through that? And how -- when will we know more? And what's the schedule to which you're going to reveal what your plans are on a longer-term basis?
Casey Keller: Yes. I have a plan and a time line that I'm working against. And typically, it's at least 100 days before I'm at a point where I'm really willing to talk about it. And that's because I'll spend my first weeks, months in the company, just trying to understand where do I see value. Where do I see value creation happening? Where do I see the capabilities? Where do I see what businesses are working and not working. How do we want to think about resource allocation within the company across these things. What has been -- where we've been successful in the past, what do we need to change to maybe be successful in the future. So I think you can expect that I'll begin to lay some of this out, call it, 3- to 6-month time frame. Probably when we have this call again in November, I'll be able to provide some more detail about where do I see us going and where will we focus and what kinds of initiatives and priorities we'll put in place? And this is all -- I've done this a few times now. So to me, it's all about figuring out what's working and what's not working with the team to align on a strategy to drive higher value creation. And then putting the plan in place and communicating what we're doing to you all and investors, et cetera. So I'm on track with that. It's just 6 weeks is probably a little premature to say more than that just because I think I want to do my due diligence. I want to work with the team. I want to make sure that we're aligned and I want to make sure that I'm coming out with from a real knowledge base in terms of where we want to go. But I will tell you, that I do see very clear opportunities about what we can do to improve value creation, drive value creation. Like I said before, building off I think what B&G has done well in the past, and maybe enhancing that with more focus within the complexity of the portfolio that we have in terms of where we can drive value and where we can create value for shareholders and for the business.
Ken Zaslow: Fair enough. I'm not sure who to say this question to you. But as you look at the Crisco business, can you assess the business case given the situation that you're in with the renewable diesel side of it? And I'm assuming, obviously, the profitability is pushed out, but how do you see that business case playing out? And should we think about it in a different perspective. And again, not this year, but I'm talking about the next 2 to 3 years. That would be where I'd leave that question. Thank you.
Bruce Wacha: Yes. We feel very good about Crisco relative to where we built our model and we built the M&A case. Input costs are up. This is an area where they are higher than some of the other categories, but pricing is also up and also higher than where it is in some of the other categories. We feel very good about where the top line trends are going really like the category. Feel really good about just the overall consumer trends for things involved in baking. It's very strategic for us. It complements things like the molasses businesses and the Clabber Girl that we bought back in 2019. So happy with the acquisition. Would have preferred input costs to become favorable to us rather than go up. But it's also a category where us and our competitors kind of like most of the things across the board are taking price to reflect the change in input costs.
Ken Zaslow: And my last question is, if you assume that the hedges roll off, have your business -- will your margins will be restored to the 18 to 15 -- 18% to 18.5% margins with all the pricing actions that you're doing and then the capacity coming online? And thinking about obviously the capacity constraints, the vegetable crop coming in. So if you kind of fast forward and say, hey, everything stays still from here. But time just goes by, would you say that, that 18% to 18.5% margin is in doable after…
Bruce Wacha: Yes, you'd have to tell me what input costs are going to be a year from now, and then what price...
Ken Zaslow: No, if everything was just stable, if everything just stopped. Time will stop. Like so the price inflation stopped, your hedges rolled off and you got the capacity restored from the vegetable crop. And you just kind of went forward from here. Would you have restored all the actions and everything, would you have been…
Bruce Wacha: Again, if prices stayed permanently up at the levels where they are, I think you'll see people take list price up more.
Casey Keller: But look, philosophically, our philosophy is that we will price to recover higher costs with the help of some productivity efforts to help us maintain margins and profitability. That is our philosophy, and that's what will drive. And it's a matter of what time period you want to talk about and the lag effect of being able to implement those things. But yes, we are going to price and cost save to make sure that we maintain margins, if that's what you're asking.
Ken Zaslow: I appreciate it. Thank you, guys, very much.
Operator: Your next question will come from the line of Eric Larson with Seaport Research Group. Please go ahead. 
Eric Larson: Yes. Thank you, everyone. I also pass on my welcome to you, Casey, and good luck.
Casey Keller: Thank you.
Eric Larson: So I know that we've -- this whole thing has been beaten already to death. But given -- on the last call, I think one of the very few last comments that Dave Wenner made was that the cost inflation was rampant and it was getting worse. That's kind of how he left it. And are you - have you seen your costs - have you seen the cost side kind of starting to flatten out? Or is it still rising? And does that mean that you have to go back to your customers and take another bite at the apple at pricing? I'm curious as to the -- what the second and third derivative is on your input costs price increases or cost increases.
Casey Keller: Yes, I'd say, look, we have taken pricing actions this year, including some recent pricing actions to make sure that we're pricing against the environment that we see for the next months. I would tell you that we're now in really analyzing what do we think cost will look like on certain key commodities next year. And do we need to be prepared for additional pricing and watching that. So it's a moving game. In some categories, you've seen it, it's gone up a lot, but it's starting to stabilize. In other categories, I'm still -- we're still seeing some increases that are being projected into the early part of next year. But we watch this pretty carefully, and we will plan. And I think we'll have to make some decisions about where our costs are, input cost inflation are relative to the pricing we have out there and do we need additional pricing actions, given what we see as justifiable input cost increases. And that's -- and as Bruce said, that's kind of a moving target. We can't really say what that looks like in 2022 next year, although I will tell you that I don't think inflation is transitory. Right now, I think we're going to be looking at inflation in some areas for more than just the next 6 months, we'll be looking at some inflation impact next year. But that's part of what we do to manage the pricing and look at that and we already have kind of plans in place to say how would we execute if we needed to based on input costs. Hopefully, that helps a little bit. Yes.
Eric Larson: Okay, thanks.
Casey Keller: Hopefully, that helps a little bit. Yes.
Eric Larson: Yes. No, it does. Last follow-up here. Given all the weird volume movements COVID related from last year, where obviously the industry is down a lot because of tough comps, et cetera. Can you attribute any of that to price elasticity yet? Is it too early on some of the products? I mean, it's probably pretty hard to actually analyze if there's any negative elasticity at this point, but I'd be curious on your thoughts on that.
Bruce Wacha: I think the easy answer, and it's probably not a full answer, but the easy answer is we have taken price, and we're relatively happy with where our sales are coming out so far this year. And so jury is still out because we're only 6, 7 months into the year. But so far, sales trends are bold enough to kind of where we talked about when we started to think about 2021, even if you went back to the end of 2020. We are trending at that mid, maybe a little bit better than mid-single digits higher than 2019.
Eric Larson: Got it. Fair enough. Thank you. 
Casey Keller: Honestly, the place we're going to look at elasticity, the most is Crisco because that's where the magnitude of the input costs and the magnitude of pricing is the highest. And that really hasn't rolled into the market yet. So in Q3 and Q4, we'll have a better read on that. But that's - if you ask me personally, which one am I watching pretty close, it's that one. I mean I'm tracking that almost weekly to see what's happening. And as Bruce said, so far, we have not seen any real elasticity from the pricing that we've already taken that's been implemented in kind of late May, June is when we saw the first wave of things coming in.
Eric Larson: Got it. Thank you, Casey, appreciate the color. Thanks.
Casey Keller: Thanks, Eric,
Operator: And there are no further questions at this time. I'd like to turn the conference back over to management for any additional or closing remarks.
Casey Keller: I think we'll just go ahead and close, but this is Casey. I want to say thank you for joining today, and thank you for all the great questions. And I look forward to talking to you more about what I'm seeing and where do we want to go in the future. And as I said, I think there'll be plenty of opportunities to around the November call and maybe even other times thoughts around that, that we can have those conversations. So thank you very much.
Operator: Ladies and gentlemen, this does conclude today's call. Thank you for your participation, and you may now disconnect your lines.+